Operator: Good morning, and welcome to the Blue Apron Holdings First Quarter 2023 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. As a reminder, this call is being recorded today, Thursday, May 4, 2023, for replay purposes. A slide presentation has been created to accompany today's remarks and can be accessed on the Blue Apron Investor Relations website [Operator instructions]. On this morning's call, we have Linda Findley, President and Chief Executive Officer of Blue Apron; and Mitch Cohen, Interim Chief Financial Officer. Before handing the call over to the company, we will review the Safe Harbor statements. Various statements that the company makes during today's call about its future expectations, plans and prospects constitute forward-looking statements for the purpose of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by those forward-looking statements as a result of risks and other factors, including those described in the company's earnings release issued this morning and the company's SEC filings. In addition, any forward-looking statements represent the company's views only as of today and should not be relied upon as representing its views as of any subsequent date. The company specifically disclaims any obligation to update these statements. During this call, the company will be referring to non-GAAP measures, which are not prepared in accordance with Generally Accepted Accounting Principles. You are encouraged to refer to the earnings release and SEC filings, where it has defined these measures, and to review the reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures. With that, I would now like to turn the call over to Linda Findley, Blue Apron's CEO. Linda, please go ahead. 
Linda Findley: Thank you, operator. Good morning, everyone, and thank you for joining us for an update on the business. On the call with me today is Mitch Cohen. Blue Apron's Interim CFO.  Given that our last update was just a few weeks ago, I'll start with a quick recap of our first quarter performance and shift my remarks to share an update on our go-forward strategy. Mitch will then provide a more in depth review of our financial results. Per our last earnings call, we are focused on reducing cash burn towards our goal of profitability and we continue to deliver against that in Q1.  However, we recognize that the business needs additional capital and we are actively pursuing all opportunities available to us in order to meet our near term obligations. While we don't have a completed deal at this time, this includes the potential of one or more financing opportunities or other strategic transactions, including significant commercial partnerships. Mitch will provide additional color.  During the first quarter, we saw success in our efforts to continue driving efficiencies across the business, especially related to cash burn. Previously, we shared that as of the end of February, we had accomplished a more than 50% reduction in annualized cash burn, and I'm very pleased to report even further improvement in the fourth quarter. At the end of the first quarter, our free cash flow burn was down approximately $19 million compared to the end of first quarter 2022 reflecting a 64% year-over-year reduction.  As we move into the second quarter, we remain vigilant in managing cash burn and continue to identify areas to bring greater efficiencies into the business. We also continue to execute on our plans with our goal of profitability. Notably in Q1, we continued to strengthen our key customer engagement metrics.  Average order value is $70.27, up approximately 12% versus the same period in the prior year and down slightly from the fourth quarter of 2022. The year-over-year improvement reflects the annualization of price increases introduced earlier in 2022, while the sequential decline is related to some strategic investments in our promotional spend within the quarter. Excluding promotions average order value was $72.19, clearly illustrating the strength of our overall offering.  Average revenue per customer was $346, also down slightly from the fourth quarter as a greater number of new versus tenured customers purchased meal kits in the first quarter. As a reminder, newer customers tend to spend less on their initial boxes, but typically increased spending the longer they are with Blue Apron.  Finally, orders per customer held strong at 4.9 as our customers continued to respond well to our menu variety and customization options. Total customers in the 12 month ended March 31, was 658,000, compared to 693,000 for the equivalent period a year ago. Much like the fourth quarter the deliberate focus on marketing efficiency, coupled with reductions in overall marketing spend, drove the year-over-year change.  Total customers in the quarter were 326,000 compared to 298,000 in the fourth quarter of 2022, and 367,000 in the first quarter of 2022. The change we made to our promotional strategy, I mentioned earlier, drove much of the sequential increase. When you look at our year-over-year results, the decline is a reflection of our intentional efforts to shift our focus to performance marketing, along with a reduction in marketing spent. These shifts also have resulted in greater marketing efficiency and notable improvements in overall conversion, which I will discuss more in more detail in a moment.  Now, turning to our go-forward strategy, we remain focused on executing against our three strategic initiatives outlined previously. As a reminder, those are one, taking a more targeted approach to acquiring and retaining more profitable customers while managing marketing spend. Two, driving margin improvements. And three, executing disciplined cost management in PTG&A.  I'll start with marketing. Our efforts here continue to be aimed at delivering on profitability and scale. As discussed on our fourth quarter earnings call, we have proactively shifted our marketing spend towards performance based and digital channels that deliver a strong cost per acquisition. In the first quarter, marketing spend was $14.7 million, a reduction of 14% sequentially and 47% year-over-year. Alongside the reduced spend, we are also seeing significant improvements in payback periods, with a return to pre-pandemic payback levels far less than a year.  By taking a more holistic approach to our investment in working media and promotions we are seeing strong improvements in cost per acquisition, building on our early success in the fourth quarter of 2022. In Q1 we reduced cost per acquisition by almost 50%, and now it's at its lowest level since 2019. We achieved this while simultaneously increasing our conversion rate by approximately 24% sequentially in the first quarter.  One of the key drivers of our success is our focus on testing marketing channels we know are effective for us while overlaying a promotional strategy that allows us to attract the right customers. These improvements are representative of our ability to scale our marketing in a way that benefits our bottom line, as evidenced by improvements in acquisition, retention and customer KPIs.  In support of our marketing efforts, we continue to build out our network of partnerships. Recently, we announced a new chef partnership with Molly Yeh. In collaboration with our culinary team, Molly created a limited time offering available with or without a subscription. We know limited time boxes are a great way to engage current and prospective customers. The seasonal boxes have proven to deliver on higher order rates and average order value during the weeks we offer them along with incentivizing unskipped [ph] behaviors and account reactivation.  As we continue to build towards our goal of achieving profitability, we are all assessing our existing partnerships. Notably, we have decided to pause the availability of our products on walmart.com beginning this month, as we continue to prioritize activities and partnerships that drive ROI and profitability. We continue to work on other third party sellers including Amazon and remain active in pursuing new partnerships and sales channel opportunities where they align closely with our focus on profitability.  Moving to our second commitment, driving margin improvements, in the first quarter variable margin increased from 35% -- increased to 35.8% from 34.9% in the fourth quarter and 32.5% in the same period in the prior year. The improvements in variable margin were driven by continued cost management and productivity improvements, along with efficiencies implemented over the past several months.  Operational efficiency improvements we started implementing in the fourth quarter continue to deliver benefits to the business. Our work includes a reduction of idle time on pack lines, consolidation of shipments into a smaller number of trucks, and an improvement in material handling and inventory management. This work resulted in higher throughput of boxes per pack line hour, and a reduction of labor minutes per order, which is especially impressive as they came in tandem with increased meals per order, ingredient and recipe count. We see continued opportunity in margin improvement as we implement more efficiencies throughout the coming year.  Turning to our third commitment, cost management. As I noted earlier, we've achieved a 64% year-over-year reduction in free cash flow burn in Q1 as compared to the same period in the prior year. In tandem with this reduction, we are also pursuing additional external funding to meet our near term obligations. While we believe the bulk of these cost reductions have been implemented, we continue to evaluate ways to achieve further incremental cost efficiencies through the course of the year. Overall, we believe our efforts to-date provide a solid foundation for us to continue on our path to achieving profitability.  With that, let me turn it over to Mitch to go through the financials. Mitch?
Mitch Cohen: Thank you, Linda, and good morning everyone. I'll first begin with an update on our liquidity position before diving into the first quarter's performance for the quarter ended March 31, 2023. Our cash balance at the end of the first quarter was $31.6 million as compared to $33.5 million as of the end of the fourth quarter 2022. Our cash position at the end of the first quarter reflects a number of factors, including equity proceeds, primarily from our at-the-market offering launched in November 2022, our debt paid down, and the success of our efforts to drive operational efficiencies and cost reductions.  Starting with our at-the-market offering activity in January of this year, we completed our November ATM which resulted in proceeds of $16.2 million net of commissions. In addition, in February 2023, we launched another at-the-market offering which provides us with the option to sell from time to time up to 70 million new shares, substantially all the 70 million shares we made available.  With regard to debt pay down, as noted on our previous call, we amended the notes purchase agreement in March. The amendment requires us to pay down the remaining balance of our interest of our 30 million outstanding senior secured notes in four monthly equal installments of $7.5 million. To-date we have paid $15 million of the $30 million principal amount. The first $7.5 million installment paid in connection with the signing of the amendment in March, and the second $7.5 million was paid in April. The third payment is scheduled to be made this month and the fourth and final payments due in June 2023.  Because the outstanding amounts owed to us from Joe Sandberg affiliate continues to be delayed, we will need additional funding prior to the middle of June. As Linda mentioned, we are actively pursuing all opportunities available to us to meet our near term obligations. This includes one or more financing opportunities and/or other strategic transactions including significant commercial partnerships, although there can be no assurance that we will close any such transaction. Our ultimate goal is to get to the path to a stabilize balance sheet and long term profitability.  Turning to the first quarter results, net revenue was $113.1 million, up 5.9% sequentially and down 4% year-over-year. The sequential increase was driven by the growth in customers and increased order volume in the quarter. The year-over-year decline was driven by the reduction in customers in the 12 month period alongside a reduction in the order volume in the period. As Linda mentioned average order value was $70.27, down modestly from the fourth quarter of 2022 due to increased promotional spend in the quarter.  Order per customer for the quarter was 4.9, as customers continue to spend -- to respond well to our menu varying variety and customization.  Turning to expenses variable margin was 35.8% for the quarter -- for the first quarter. This is a 90 basis points sequential increase and a 330 basis point increase over the prior year period. The improvement of variable margin was driven by ongoing efforts to drive operational efficiencies and lower up cost per box. These efforts include better managing our labor expense and reducing our food and packaging costs.  In the first quarter of 2023 PTG&A costs were $35.7 million a 4.1% increase sequentially. The fourth quarter of 2022 included a significant reduction in food bonus expense, reflecting the decision to pay out lower year end bonuses in the first quarter. Notably first quarter PTG&A represented an 18.7 decrease year-over-year reflecting our successful efforts to reduce costs. The year-over-year decrease was driven by the prior year impact of the retirements of carbon offsets, as well as corporate headcount reductions implemented in late in the fourth quarter.  Free cash flow was a negative $10.8 million, an improvement of 64% year-over-year. Factoring in our at-the-market activity and the pay down of debt, our net cash decrease was less than $2 million in the first quarter. Looking at the bottom line, we reported a net loss of $17 million for the first quarter compared to $38.7 million net loss in Q1 2022 and a $21.8 million loss in Q4. In the first quarter adjusted EBITDA was a loss of $8.7 million compared to $31.4 million loss in Q1 2022 and a $13.5 million loss in Q4.  Our significant reductions in cash burn and adjusted EBITDA loss are indications that our efforts to reduce costs and drive efficiencies are working as planned, including our work to manage marketing expenses, reduce PTG&A and improve variable margin. As noted our first quarter cash burn includes the impact of $7.5 million debt paid down, as we paid the first of our four monthly installments in March.  We continue to make good progress against our operational goals. This said, we will continue to evaluate ways to achieve further incremental cost efficiencies through the course of the year as we continue to actively pursue sufficient additional funding -- additional funds and use to fund our near term obligations. Overall, we believe that the efforts today provide a solid foundation for us to continue on our path to achieving profitability.  With that, I'll turn things over to the operator to open up the call for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Maria Ripps with Canaccord. Please go ahead.
Maria Ripps: Great. Good morning, and thanks for taking my questions. First, so you had very healthy net adds this this quarter, especially in the context of your lower marketing spent. Can you maybe expand a little bit on key drivers behind that? Maybe give us a little bit more color on what worked for you this quarter? And just talk about the sustainability of this dynamic as we head into sort of seasonality slower Q2 and Q3.
Linda Findley: Thanks so much for the question, Maria. So I can definitely give you a little bit more color. First of all, we played with a couple of different levers that we had established the technology for last year. So as you know, last year was an investment into marketing technology and some brand spend, as we started to lean back into marketing after the reset that had happened in 2018.  So we were able to leverage some of that technology that was put into place to be a lot more efficient on driving into performance spend and marketing, and removing some of the top of funnel branding spent. That's not to say that we're moving away from branding at all. We're actually transitioning our branding into more performance-based channels that take advantage of the 81% brand recognition that we now have, after some of our branding activities. And of course, the long history of Blue Apron as a strong brand.  So that's one thing that we were actually able to do. Another thing that we played with that we talked a little bit about in the script was the promotional spend versus media spend. So we tested some different promotional structures that actually did prove to be contra revenue. So you saw some of that come out of our AOV. But we were also able to lower our marketing spend at the same time and still acquire those higher quality customers as part of that process. So we were able to trade off a bit between promotional spend and marketing spend. That still resulted in better efficiency and better quality customers.  We do think this is something that's sustainable, although you will still see seasonality throughout the quarters, as you always do. But we do think that this is something sustainable, that we can lean into further investment in the future, as we secure that funding that we discussed earlier. So some of that is playing against each other in a really positive way where we're seeing both higher quality customers come in at a much greater efficiency than what we've had in the past. And returning to some of those levels that we were talking about in 2019 of paybacks that are less than a year.  A lot of this is results of performance-based channels, which tend to be things like search, and tend to be affiliate. We changed our affiliate model as well to make that a lot more efficient. And that's helping quite a bit as well. And finally driving a lot more organic and reactivations. Again, we have a very strong email list from years of work in the industry. And the combination of being able to drive that and driving more organic traffic through improvements in some of the technology that we have put in place are all working towards the same end.
Maria Ripps: That's very helpful. And then secondly, could you maybe talk about what sort of trends you've seen with underlying food prices and how much of a headwind would you say inflation still is to gross margin? 
Linda Findley: Sure, so I think underlying prices, we're still seeing some inflationary pressure, particularly in food. I think we are also continuing to see consumers be a little bit cautious about their spend. That's why we're focusing so much on value. I think everyone's dealing with a macro economic environment or an uncertainty that people continue to just feel emotionally about exactly what's happening in the macro climate. But we are seeing strong continued spend with people in the products as you know, with meal kits. People are more price sensitive when they're coming in to meal kits, but once they're in, they tend to be far less price sensitive. We're seeing that continue and work, we are also seeing responses of people seeing value in the kits.  So there's some pricing pressure, continuing on food costs. But overall, the efficiencies that we've been able to drive both in our procurement side and in our labor side are helping to offset that. On the consumer side, we are just seeing people continuing to see value in the kits and being willing to spend on the value-added products that we've added over the last several years within the kits themselves.
Maria Ripps: Got it. That's very helpful. Thank you so much, Linda. 
Linda Findley: Thank you, Maria.
Operator: Our next question comes from Dan Kurnos with The Benchmark Company. Please go ahead.
Dan Kurnos: Great, thanks. Good morning. Linda, I want to stay on that topic. You gave a lot of good color around there. Is there any way to parse down what percent of new adds, or at least directionally, are reactivations, because I think if you're working on reducing effectively ARV and promotions to kind of incentivize value, or highlight value in the market, I think there's obviously a longer tail stickiness to it, if the bulk of those are coming from known commodities that have been in the pipeline before rather than from new customers. And the new customers that you're bringing in, I'm curious, if you have any early learnings that those cohorts are behaving similarly to either reactivation or what you see from a historical perspective?
Linda Findley: Sure, I'll try to answer your question, but definitely remind me if I miss any part of it. So we don't currently talk about the percentage of those customers that are coming from reactivation. But what I can tell you is we did launch a new reactivation program this year, very early in Q1, where we were testing against a lot of that email list and a lot of the data that we have on our current customers and former customers.  Again, as we've said before, first party data is going to become extremely powerful as we continue to go deeper into the cookie list environment. And we're taking advantage of that with the technology that we've put into place, I will still say a majority of those net adds were coming from new customers, even though reactivation was extremely healthy for us. Those experiments are proving true of what we've seen in the past that reactivated customers tend to perform extremely well and tend to be very sticky compared to new customers because of the known entity aspects that you're talking about.  So we are seeing really good progress there. And but we still have a lot of opportunity to go given the size of our database. So that's a very positive aspect of it.  The other thing that I will note is, while we were doing a lot of different tests and experiments, overall, the new customer cohorts that we were bringing in, in the beginning of 2022, are performing the same or better than previous cohorts coming in on average. Again, there's always tests. So you'll see a little bit of wobbliness, I guess for lack of a better term, when you're testing. But on the whole, and on average, they are performing the same or better.
Dan Kurnos: Yeah, no, that's, that's super helpful. And to that point, I mean, you kind of alluded to the concept that perhaps AOV continues to trickle downwards, as you press more on the promo front, which everybody loves a lower upfront price, right? So I guess is -- do you still see substantial opportunity to balance as you put it, sort of your controversies, your media spend, where even if AOV needs to come down margins can improve as you pull back on sort of broader marketing expense.
Linda Findley: So there's a couple of things to unpack in that question. I will say that while we do continue to test our promotional structures, what you might see going forward is more testing of the structure rather than the dollar amounts, which should roughly stabilize our AOV. So you're not necessarily going to see a consistent trickle down there. That being said, we still think that above $70 on an AOV is incredibly healthy and one of the higher in the industry. So you'll still see some seasonality there, but you're not necessarily going to see a steady trickle down.  We do think that it's more about pulling structural level levers than necessarily looking specifically at dollar amounts. So that's one thing that's really important, because it's that structural piece that actually helps drive the higher quality customers coming into the business. So that's something that you'll see there.  On the margin piece of it, we do anticipate continued seasonality, as you've seen in previous years on margin. We've always talked about, Q3 being our highest margin challenge of the year just because of the heat. That being said, we have a lot of productivity opportunities ahead of us, a lot of efficiency opportunities ahead of us. So we do anticipate that we will continue to improve our variable margin.
Dan Kurnos: Got it. And -- that's super helpful. And just last one, just how do we think about the impact of the Walmart pause? I know it's a partner? Just how do we think about that? And are there are there any other sort of evaluations going on that we should be aware of at this point?
Linda Findley: The thing that we've always said about the Walmart partnership is one of the big benefits of Walmart was it was our first and it helped us develop the technology that let us take an order and ship it within 24 hours. And we do continue to see opportunities to leverage that across different third party partnerships. Again our core driver right now is profitability. So we're always going to make sure that we're evaluating everything we do, not just each partnership based on profitability, to bring the most return into the business in the end, long term success.
Dan Kurnos: Okay, great. Thanks very much, Linda. Appreciate it.
Linda Findley: Thanks so much, Dan.
Operator: [Operator Instructions] The next question comes from Ryan Meyers with Lake Street Capital Markets. Please go ahead.
Ryan Meyers: Hi, good morning, guys. Thanks for taking my questions. First one for me, so we've had a couple of quarters now of this sort of cost reduction effort, if you will. Obviously, pretty solid results, lowering OpEx about 18% year-over-year. As you guys look at remaining quarters, on a dollar amount, how much more cost you feel like you can continue to take out of the business, largely on the marketing and PTG&A side?
Linda Findley: So thanks so much for the question, Ryan. You didn't see that we announced in about end of the year, so it was actually in December, that we implemented the $50 million cost reduction across the business. We saw better than expected results on seeing those cost reductions impacts. It's quite early in Q1. So Q1 was really the first quarter where you saw that impact come together. But I will say that I think overall, we've seen a lot of those cost reductions impact us throughout the year.  So you'll see more of that $50 million coming throughout the year. It wasn't just necessarily all showing up in Q1. So you'll see continued impact. We always see additional opportunities, and we're continuing to look at other opportunities for cost reduction. I do think that we've proven that we are very good at focusing on finding those and moving on them very quickly. So anything we find in the future quarters, we will definitely implement. But we still see positive impacts yet to come from the reduction that we did in December.
Mitch Cohen: And Ryan, it's always a constant evaluation, PTG&A. So we'll still uncover some more things and continue to keep looking. We talked about it on our last call, subletting part of our labor stations [ph] and things of that nature. 
Ryan Meyers: Got it. And then in the press release, and then Mitch, your prepared remarks, you guys talked about sort of a commercial partnership as an option to bring in more funding or financing. What would something like that look like?
Linda Findley: We can't give any more details at this time. But it is something that in addition to the other options on funding and strategic options we are considering heavily. And so we'll update you as soon as we have more details.
Ryan Meyers: Got it. Thanks for taking my questions.
Linda Findley: Absolutely.
Operator: Ladies and gentleman this will conclude today's question-and-answer session. I'd like to turn the conference call back over to Linda Findlay for any closing comments.
Linda Findley: Thank you so much everyone for your time today. We look forward to providing an update on all of our efforts soon. And in the meantime, if you have any additional questions, please don't hesitate to reach out to us directly. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may all now disconnect.